Jesper von Koch: Hi, and welcome to Neonode’s Q4 2022 Earnings Call hosted by Redeye. We will today start with a company presentation and also a presentation of the Q4 results followed by a Q&A session by me and the companies of their analysts. So with that said, I leave the word over to the CEO, Urban Forssell for the company presentation.
Urban Forssell: Thank you very much. Also, from my side, welcome to our Q4 and full year 2022 earnings call. With me today is our CFO, Fredrik Nihlén and he will present the financial results. And before we go into the main presentation, I would like to take a minute to read the legal disclaimer, and you find it here on the screen as well. This presentation contains and related oral and written statements of Neonode Inc. and its management may contain forward-looking statements. Forward-looking statements include information about the current expectations, strategy, plan, potential financial performance or future events. They also may include statements about market opportunity, sales growth, financial results, use of cash, product development and introduction, regulatory matters and sales efforts. Forward-looking statements are based on assumptions, expectations and information available to the company and its management, and involve a number of known and unknown risks, uncertainties and other factors that may cause the company's actual results, levels of activity, performance or achievements to be materially different from any expressed or implied by these forward-looking statements. Prospective investors are advised to carefully consider these various risks, uncertainties and other factors. Any forward-looking statements included in this presentation are made of today's date. The company and its management undertake no duty to update or revise forward-looking statements. This presentation has been prepared by the company based on its own information, as well as information from public sources. Certain of the information contained herein may be derived from information provided by other industry sources. The company believes such information is accurate and that the sources from which it has been obtained or reliable. However, the company has not independently verified such information and cannot guarantee the accuracy of such information. Thank you very much. With this, let's have a quick look at today's agenda. I will give first here a brief strategy and business update that will also connect to our previous earnings call in November. After this I will invite Fredrik Nihlén to come up on stage and present the Q4 and full year 2022 financial results, followed by some comments regarding financing. When I return for point 4, I will discuss current status and our plans going forward. I will also today give some comments about the patent litigations versus Apple and Samsung. And we finish off with some concluding remarks. With this as an outline for today's presentation, let's just go right into it. For new followers and listeners to this presentation, I want to just give a brief update on our business strategy. And this is a combination of technology licensing and product sales. So we work today in two business areas. One, where the focus is technology licensing. Looking at our current customers, they include printer manufacturers and automotive Tier 1 suppliers and also some other customers. We work here with two technology platforms we call them zForce and MultiSensing. I will give examples of applications in the next slide. Whereas on the right side, we illustrate our products business where we target customers in the elevator and interactive kiosk segments, with our Touch Sensor Module products.  Key application areas and what we're working on in our day-to-day operations. In the licensing business, it's a lot of focus today on head-up display obstruction detection, and also interior controls. This is something we base on our zForce platform. And we use our MultiSensing platform to work on driver and in-cabin monitoring solutions and features.  In our products business, we mainly work on contactless touch, either touchless touch on displays and other surfaces and keypads, keyboards and buttons, or holographic touch. So with our Touch Sensor Modules, you can make holographic display images interactive, which is quite futuristic and cool we think. We also work on rugged touch and gesture sensing with the TSM products. Recently, we updated our website quite fundamentally. And now what you will see there is different illustrations and descriptions that's underlying and reflects our strategy. So please visit neonode.com and check out the nice contents that our marketing team has added to the website recently. What you will see is that we do a lot of sector-based marketing. And this is to support our growth strategy. And especially if you look here to the left, in the first step, we have a very, very strong focus today in several of our businesses to establish beachheads in important segments and markets. And everything we do in marketing and sales and also product development is aimed at supporting this strategy. We also work with proof-of-concepts and different types of demo projects to also further show and demonstrate the value of our technology. This is very, very important and we follow this beachhead strategy to break through in key segments, so that we later can focus on scaling up. In some of the segments, we are active. We feel that we already have achieved the breakthrough and we have established beachheads, one example is elevators, and also certain sub segments of the interactive kiosk market. But in others, we admittedly still are working really to establish the beachheads. So this is the clear strategy that we have been following for some time, we have refined it and we believe that this is really now the right way forward for us.  And more regarding marketing. During the second half of last year, especially during the fourth quarter, we are glad that we could again start to travel and join physical live events. And that you will see here some examples from automotive events in Detroit, in Munich and also a virtual event in China that we joined during November. They all focus on head-up display, obstruction detection, interior controls and driver and in-cabin monitoring.  We also attended Japan Build which is focused on proptech and this is different aspects of interactive kiosk applications that we showed here together with partners. Very, very interesting and successful event for us with huge attention to our different offerings and our partners' products. In line with this, we were as late as last week part of Retail Tech in Tokyo, Japan, also with great attendance and a lot of appreciation from people visiting our booth and taking part of our different solutions and our partners' different products on display. So, this is where we are today and a little bit a short summary and overview of our business strategies and what we do in terms of marketing and sales. I will come back in a short while, but now I want to give the word to Fredrik Nihlén, our CFO.
Fredrik Nihlén: Thank you, Urban. You can find our 10-K and earnings release if you visit our Investor section on our webpage neonode.com. I will in this presentation just summarize the key highlights. I will also say a few words on financing. Total revenues for 2022 was $5.7 million, that is a decrease of 3% compared to 2021. We saw a slight decrease in license revenues in 2022 compared to 2021. And this is due to component shortages within the automotive and printer industries, which affect our customers and hence affecting our license revenues. However, we saw a recovery in the second half of 2022 in license revenues. For products revenues, we reached $995,000 in 2022. That is an increase of 4% compared to 2021. Also here we saw a recovery in Q4 product revenues. However, in 2022, we are still affected by lockdowns in Asia and we are also affected of long development and launch cycles at our customers. Gross margin for 2022 was 22% that includes a onetime effect of obsolete -- of write-down for obsolete stock in Q4. Adjusting for that, we would have a gross margin of 51%, which we think is a good level. Operating expenses was $10.2 million for 2022. That is a decrease of 15% compared to 2021. Main reason is that we have cost control, but we are also helped by the weak Swedish currency. As I stated in the last earnings call, the majority of our costs are in Swedish krona.  Summarizing 2022 in our P&L, we had a net loss of $4.9 million compared to $6.5 million in 2021. And that is as I discussed in previous slides, less operating expenses, but keeping the revenue at approximately the same level as 2021. Net cash burn in operating activities for 2022 was $6.8 million. That is a decrease of 11% compared to last year. We had a cash balance and accounts receivable balance of $16.3 million as of the 31st of December 2022. That is a decrease of $2.4 million for the year. I will now just say a few words on financing. During October to January, October '22 to January '23, we selectively used our ATM facility. And we raised net proceeds of $12.6 million to an average price per share of $7.24. The $4.7 million we raised in Q4 are a part of the balance that I've talked about in previous slides but we increased also the balance by adding additional $7.9 million of net proceeds in January 2023. We think that the improved cash position will give financial stability to execute on our strategy.  And to give some more color to this, I will give the word back to Urban.
Urban Forssell : So in rest of the presentation, I want to spend some time here to discuss current status and the plan going forward. To tie in what Fredrik said, our sales revenues were more or less on par with those of 2021. I must say that it's not bad, but we are not satisfied and we’re working hard to improve that and grow the business. And indeed, we are very optimistic about our ability to really turn this around and create some significant growth. And we also have, during the last year, created strong interest in several of our solutions that we offer, and we have several very promising opportunities in our sales funnel currently that we are working to capitalize on.  Plan going forward, we believe they have a good strategy and also strong finances that together put us in a good position to significantly grow our business this year and the coming years. We are adding resources to our global sales team to support growth in key sectors and markets. We are also expanding our network of distributors, value-added resellers and other partners for a broader reach and a quicker market penetration.  Regarding marketing, we continue to build on our brand and marketing platform to drive sales. We will increase the focus on physical demos, POC projects and also physical events quite significantly. Of course, this draws some resource. But again, given our strong cash position, we want to use this now to leverage the technology that we have developed and the IP that we have in the company. We will also continue to work a lot with digital marketing campaigns. And the key point as shown previously in this presentation to show the value of our technology. We believe we have a very, very good technology base and an IP base in the company. And a key issue for us is to show the value and demonstrate the capabilities of the technology and of our team, how we can support customers and add value.  Moving over to engineering. We continue to invest in product development to improve the added customer value we can bring with our products and solutions and also to broaden our offering. We will share more details on this in later earnings calls, this spring and after the summer. To support these efforts, we are not only investing internally with our own staff but we also are engaging with some external engineering firms and other partners to shorten our time to market and increase our general development and manufacturing bandwidth. All aiming upwards and forwards. And again, just to repeat and illustrate what we are working on in practice, MultiSensing Licensing Solution, the main focus and basically the only focus is to work on driver and in-cabin monitoring for different automotive, OEM and Tier 1 customers, where we are encouraged and indeed we are involved in some detailed discussions currently with a couple of such customers that we hope to capitalize on in the near future. Very, very promising and interesting. Another area which draws a lot of attention in our company and also from several different customers is head-up display obstruction detection. And we have here a very cost effective and good, robust solution to detect foreign objects on head-up display projectors that may obstruct the image and cause safety hazard. And this is not acceptable, neither by legislators nor by vehicle manufacturers. So, therefore, we need for this type of systems in modern vehicles, also technical means of detecting this type of disturbances. And we have here a very good, ready solution that is drawing a lot of attention from several customers. I mentioned also in the previous slide that we work on interior controls. And one example is we work with a French company called EPICNPOC, who are developing and selling rapid prototyping design studio solutions. And we are together with them, developing and launching different features based on our Touch Sensor Modules, and also our other offerings. And just an example how this cooperation is playing out. So we co exhibited with EPICNPOC at CES in Las Vegas in January this year, and very successful, a lot of attention to their solution and also our contribution there was significant. So we are very, very proud of this cooperation and think that this is one way for us to reach new customers mainly in Europe but also in other regions. We continue to work in our products business with elevator customers, both elevator OEMs, and companies developing and selling elevator control panels. And in the elevator industry, it's common that the companies work both OEM, meaning selling new equipment and also in the aftermarket selling retrofits and upgrades and simply do service, maintenance services for the elevators. Interactive kiosks come in many different shapes and forms. This illustration is a particular kiosk developed by a Maxell that they launched at Maxell Aqua Park in Tokyo. It's a very nice example of a holographic interactive information kiosk where visitors to this Aqua Park can themselves browse and see small video clips and other information charts for different types of fish and the animals in the sea. This is a very nice graphical example. But of course there are many, many other types of kiosks that we also support with our Touch Sensor Module Products. Related business, still related to our Touch Sensor Module business is medtech where we have actually a long cooperation with a Swiss company called Elix Systems that have developed solution for medical imaging systems. Here in particular, quite big program with a leading medtech OEM that here have equipped an ultrasound system with our touch feature that adds functionality and adds value to their otherwise very, very high performance system. So now, nurses and doctors doing examinations using the ultrasound device and typically having gels on their fingers and using gloves when they do these studies, they can then zoom and point and click to the screen like you prefer to do for quick handling and ease of use. So we add a lot of value, both for the manufacturer of these systems, who could add touch to their existing system, and then to the end users, the nurses and the doctors that have a very, very robust fast and accurate touch feature.  In fact, we are so much encouraged by this success with this program that we will and have taken steps to increase our focus on medtech as one of the sectors that we will focus more and more on going forward. Other examples are retail and proptech. And retail could be anything point of sale terminals, self-checkout terminals and similar. And proptech includes everything from elevators, it could be entry systems, alarm systems and other control panels for buildings. These are three examples of sectors that we will focus on going forward. And in medtech we see simply several use cases where we have outstanding offerings that brings a lot of value to both the buying customers and the end users in the hospitals, and also for patients and visitors to the hospitals. So there's a strong overlap with interactive kiosks here but we also see that there are some particular requirements that we can meet and that we are now working to show different customers. And here we will also come back in later earnings calls to share some more updates. Drawing closer to the end of this presentation, I promised to give some comments about the ongoing patent litigations versus Apple and Samsung. And we have one slide here. And I will basically only comment on the facts regarding our agreement with Aequitas. So as many of you know, we have an embedded call option as we call it associated with our patent agreement with Aequitas Technologies LLC. Aequitas is an American based technology licensing company. And in 2019 Neonode signed two patent families related to old smartphone technology to Aequitas for monetization. And agreements states that we will get 50% of the net proceeds if Aequitas succeeds in monetizing the patents. And what I want to underline here is that net proceeds should be understood as the gross proceeds, less out of pocket expenses and legal fees. The agreement with Aequitas is available on SEC's website and also you can find it through our website. If you look at our 8-K filing from May 2019, you will find the agreement in full and can there read all the terms and conditions.  In June 2020, Neonode Smartphone LLC, this is a subsidiary of Aequitas and having no direct link to us, other than the first part of the name, they filed two patent infringement lawsuits, one against Apple and one against Samsung. And these two litigations are still ongoing. The Apple case has been moved to District of Northern California and the Samsung case is still in the Western District of Texas.  I want to underline also finally our role in this. Our role in this is to be the owner of the regular patterns that we transferred in 2019 to Aequitas. We have no insight into or influence over Aequitas operations. And in particular, we are not involved in the lawsuits against Apple and Samsung. Good thing here about the whole arrangement is that we will not bear any costs associated with the ongoing litigations and we are not exposed to any risks because of them. And this is the whole idea behind this arrangement and Neonode's Board in 2019 therefore entered into this agreement with Aequitas. Still we appreciate that many find is very, very interesting to both study and discuss and speculate about this. But we stay with this, these facts and these descriptions of the actual events that have taken place from 2019 up till today. And basically that is what we can and will communicate around these patent litigations.  Thank you very much. And this brings me to our final concluding remarks slide. As Fredrik has presented, our sales revenues for 2022 were US$5.7 million, similar results as in 2021. Net loss decreased and was $4.9 million. And that's due to mainly very, very tight cost control and also favorable exchange rates. And net cash used in operation activities was $6.8 million and this is down from $7.7 million in 2021. We continue to see strong interest in our TSM products and our zForce and MultiSensing technology platforms. And we will use our strong cash position to drive growth through investments into sales, marketing and new product development. So we look very positive through the rest of this year and also the coming years. And we believe strongly that we will be able to grow our business significantly. Thank you very much. And now I invite Jesper up for Q&A.
Q - Jesper von Koch : Thank you very much for that. All right. So let's start with strong product sales of the quarter, which was many times as high as previous quarter's. Could you just explain the reasons behind this?
Urban Forssell: Of course, it's as in many cases, the combination of different effects that work in our favor. But if you look at what we can control, we had some serious efforts. And we did a strong push both in Q3 and Q4 to really drive sales. So that's good work by our team to really influence many customers to take the step to place orders and we are happy for that. We also got help because situation, for instance in China and other Asian countries started to normalize during the second half of last year and I think that helped. And also in Europe, we have some good customers and partners that we were able to get new businesses with and together that gave a very positive end to the year for the products business.  I would also say that second half and Q4 was positive in our licensing business and then some new projects that brought in NRE revenues, so for non-recurring engineering services. We could invoice several customers during the third and fourth quarter which also contributed.
Jesper von Koch: Good. And if we stop at the product sales there, was it more from the retrofit business or was it from new sales?
Urban Forssell: I would say that the -- some of the bigger orders that customers placed with us were for new equipment, but we also have sort of a healthy portion of retrofit businesses but they tend to be smaller, several orders but smaller. So we have a balance, I don't know I have from the top of my head the exact balance between retrofit applications and new equipment. But I believe that majority of the bigger orders, they were indeed from new equipment.
Jesper von Koch: Okay. So from the new equipment, was it like one or two large ones that make like specific orders? Or should we anticipate that it was a few contributing?
Urban Forssell: No, that was actually several different customers placing, not huge orders because then we would have present even stronger numbers. But still decent volumes came in from several customers. So that we were glad for.
Jesper von Koch: Good. And regarding the license side, and especially the NRE revenue there, could you say like what segments are those from, is it fair to assume it's automotive or…?
Urban Forssell: A very clear focus from our side in our licensing business has been for a couple of years to focus on customers in automotive sector. We work both today with OEM customers, meaning vehicle manufacturers directly and with some Tier 1 suppliers. And in fact, we have customers in all three main regions, Asia, Europe and North America. So we have contributions there. And it's for these two main topics that I've stressed here in this presentation and also in previous presentations, driver, in-cabin monitoring on the one hand, and head-up display obstruction detection there. So we see most activity today, and mostly interest.
Jesper von Koch: And I mean there has been a lot of activity on the RFQ side, on the driver monitoring side there. Can you say some -- anything about like how close you are to being able to present anything there, like the results of RFQs?
Urban Forssell: We think we are very, very close. Of course, it's under NDA and it's sensitive. But we think that we have very, very good chances of winning some new businesses here in the near future. We also know and appreciate that there are many competitors, many strong competitors in this field. But still, I can share that we are encouraged by the feedback we get when we talk to different, not least OEM customers that maybe you have already chosen a certain other supplier for their first wave, but then for different reasons they're looking for a better alternative. And then we have found some interesting prospects that we are now entertaining.
Jesper von Koch: Okay, good. And is this for any specific region would you say?
Urban Forssell: That would be to disclose too much.
Jesper von Koch: Okay, okay. All right. And also for the head-up display, is that -- like, yes, what's the status there, if you compare it, like the timing of RFQs for that compared to like driver monitoring systems?
Urban Forssell: It's driven by a few premium vehicle manufacturers that are going -- betting hard on head-up displays in the future. And they're looking to change the cockpit inside the vehicle, and having maybe less of the traditional instrument clusters and big displays, but instead having more -- all the information projected onto the windshield in different types of arrangements, but some will project more in the field of view, some at the bottom of the windshield. And if you then remove, as some of these OEMs are planning to remove the traditional instrument cluster, to free space in the passenger compartment and also design issues, I believe and third, to save cost, they need this type of feature that we are working with for safety reasons and to fulfill all legislations of general safety regulation, the EU and similar regulations in both China and U.S.
Jesper von Koch : All right. And can you say anything about the prospective, like average selling price per vehicle for that kind of solution?
Urban Forssell: In our case, we talk about technology licensing. And we have significant revenues from automotive customers today with our zForce platform. And indeed, this will be another application of zForce. So we talk about some dollars per vehicle. And that's very, very interesting, because often in automotive, the programs run in very, very high volumes. So we hope that this will significantly contribute to our future license revenues. But of course, there is a fairly long now sales development and launch cycle that we have to work through. And everyone should be aware of this that we are perhaps talking about 2.5 to 3.5 years until we get additional license revenues from these type of projects.
Jesper von Koch : So possible revenues around like late 2025, 2026, something like that. All right, good. I mean you generally speak with quite a high optimism about 2023, like ramping up revenues and so on. And also in our last conference calls you anticipated that you will use your inventory that you had then for the next like 16 to 24 months.
Urban Forssell: We talked about components inventory.
Jesper von Koch : Yes, exactly. So, how do you see 2023 like rolling out sales wise?
Urban Forssell: In our products business, we certainly think that we can do much better than the previous year, which was indeed quite similar to the year before. So, we are optimistic and we are confident that we can start to see some steps forward. We have also decided to develop some new product variants to broaden the portfolio, because we think that we have established now some good sales channels in different markets that we can use to sell additional products through the same channels, sometimes our direct sales efforts or via partners. So we are doing different steps here every week basically to try to drive sales, both of the existing products and of new. So -- and we have to we have to improve, because we have set very ambitious targets for the company. And my team and together with the Board of Neonode, we work really hard every week to make a difference here and to break out of this, say, single digit million dollar type of turnover that we have had the last years. I think this company deserves much more on the technology, is certainly capable of driving much higher sales. So this is what we are working on and really fighting to achieve.
Jesper von Koch: Good. And for license sales, I mean I guess the typical arrangement is that you would get like NRE revenue before you onboard into a new license sales program. So is it fair to assume that we will see the NRE revenue before you ramp up significantly there?
Urban Forssell: Yes, as we've tried to explain but I can repeat that and I know that you are well aware of how the automotive industry works. So if you're successful with certain RFQs this year, we can expect NRE revenues to ramp up for this and next maybe two years. And then only when the underlying product, meaning the new vehicle or the new platform goes into mass production, this is when we start to get royalties from the licensing. But that NRE part can be significant because it's very time consuming and draws a lot of effort from both vehicle manufacturing and all the suppliers to develop, test, validate and launch a new vehicle platform. And of course, we are there to help. And our ambition is always to have at least breakeven during that development phase, for the efforts we do to support both the Tier 1 supplier and vehicle manufacturer to realize whatever ideas they have using our platforms.
Jesper von Koch: Sounds good. And then, I mean now regarding like licensing sales, you talk basically only about the automotive segment and previously you've talked about a potential large customer in the military for instance. Can you say anything about the status there?
Urban Forssell: Yes, so in our team during last year, we have sort of focused step-by-step more on the high potentials and those we find in automotive simply more interesting because of the higher volumes. Indeed, we still have quite strong interest from military and avionics companies and also medtech. And we are trying to explore and exploit these interests that we get from different directions. But honestly, we are a small team, a small company. So that's why we focus on -- also in our communication we are very, very clear that the main focus is automotive. And now I can underline that in our products business, we will think more like sector based. Again, I repeat that we will talk more about retail, proptech, and medtech as three very interesting segments in the products business, maybe together in hospitality, where you can include travel and hotels and restaurants.  So sector based marketing, sector based sales, to some extent also adjusting our technical offerings to each sector and the specific needs. We think that's the model going forward for Neonode both in our licensing business and also in the products business.
Jesper von Koch: All right. And I mean both in Q4 but also in January you stated in the report that you've used the ATM to some extent, I think it was about 900,000 new shares in January, and then all 800,000 or something like that in Q4. Could you just state like where you see yourself financially, Fredrik?
Fredrik Nihlén: We're in strong position now. And as I said in the end of my presentation, we have this ability to execute on our strategy now and that we will do, as Urban said, later on in the presentation.
Jesper von Koch : And regarding that, is it fair to assume that, that statement is the same thing as like with the -- or with the cash position that you have now, you expect yourself to be able to reach breakeven with that amount of money?
Urban Forssell: That could be one scenario, yes. But another scenario is that we start to have really good traction in the business, and then we decide to maybe invest more. But in one scenario, we can run now and operate in a similar way as we are today. And indeed, that could be a very interesting trajectory to breakeven. So right now, we do not worry about running out of cash. Indeed, we want to be more aggressive and increase our spending compared to last year and then we'll see. Together with the Board, Fredrik and I, we are constantly checking how things are developing. And we can make very quick adjustments to tighten a little bit or to give a little bit more gas on the accelerator. So this is how we really use it. But we are in a very good position we think, and it gives us now freedom to really focus on driving growth and developing the business. And this is what we are doing and that what keeps us busy every day, I can promise.
Jesper von Koch : I can imagine. But as a follow-up on that, is it fair to assume that, I mean if the product sales of TSMs, if that accelerates a lot, then you would have to invest more in that kind of area. But if it's more of the -- if product sales does not ramp up but license sales does, that would mean like you wouldn't have to invest as much.
Urban Forssell: Yes and no. The licensing business for the first year, we talk about a lot of automotive, but also military and medtech customers. Typically we will always have long development cycles and launch cycles that will be engineering-intensive. So we would need engineering resources to manage growth there. But then you're right, then it scales very nicely, because it's classic royalty model. And if you focus on high volume programs, that can give you a good leverage after mass production. In the products business, it's more complex, then we will have some CapEx investments and also investments into components and operating expenses, traditional operating expenses. So that will tie up more capital for sure. It's also a question of how we drive the sales and if it's through our own channels or through our partners? But this is a way we can also balance the cash burn. If we work more with external partners, it's more on their account to invest in marketing and sales. On the other hand, if we have the ability, I think we can have more direct results and also better results for Neonode. And also going forward, we will use that cash position to try to strengthen our presence in the different arenas where we are today promoting our products, either alone or together with partners. So, you will see more Neonode in these key markets and segments.  And again, I was talking about -- we will join more physical events, we will do more marketing, so we will travel more, we will be waving the Neonode flag and interacting more directly with customers. And that's why we need to then hire some additional headcount to our sales team. Some here in Stockholm, Sweden, already hired three, actually, last weeks and we will hire some more also internationally.
Jesper von Koch: And then we will see if we have any additional question from other analysts. No. Alright, then that's all for us and I'll leave some final remarks over to you, Urban.
Urban Forssell: Thank you for your attention and continue to follow us. Please log into our website neonode.com and read everything there. See, I think you will find a lot of interesting content there. Thank you very much. Have a nice day.